Operator: Good morning and welcome to The J. M. Smucker Company's Fiscal 2020 Second Quarter Earnings Conference Call. This conference is being recorded and all participants are in a listen-only mode. At the request of the Company, we will open the conference up for questions-and-answers, after the prepared remarks. Please limit yourself to two questions during the Q&A session, and re-queue if you have additional questions. I will now turn the conference call over to Aaron Broholm, Vice President, Investor Relations. Please go ahead, sir.
Aaron Broholm: Good morning and thank you for joining us for our fiscal 2020 second quarter earnings conference call. After this brief introduction, Mark Smucker, President and CEO will give an overview of the quarter's results and an update on our strategic priorities. Mark Belgya, Vice Chair and CFO, will then provide detailed analysis of the financial results and our updated fiscal 2020 outlook. A Q&A session will follow the prepared remarks. During today's call, we will make forward-looking statements that reflect the Company's current expectations about future plans and performance. These statements rely on assumptions and estimates and actual results may differ materially due to risks and uncertainties. I encourage you to read the full disclosure concerning forward-looking statements in this morning's press release, which is located on our corporate website at jmsmucker.com. Additionally, please note the Company uses non-GAAP results to evaluate performance internally as detailed in the press release. We have posted a supplementary slide deck summarizing the quarterly results and fiscal 2020 full year outlook. The slide can be accessed on our website and will be archived there along with the replay of this call. If you have additional questions after today's call, please contact me. I will now turn the call over to Mark Smucker.
Mark Smucker: Thank you, Aaron. Good morning everyone and thank you for joining us. Before we get into our detailed results, I will begin with the changes to our leadership structure that we announced last week. First, after nearly 35 years at Smucker and 15 years as our Chief Financial Officer, Mark Belgya, announced he will retire on September 1st, 2020. Mark will be succeeded by Tucker Marshall, our current Vice President of Finance. The transition will begin on Monday as Tucker will become Senior Vice President and Deputy CFO. He will succeed Mark as CFO on May 1st, 2020, following the completion of our current fiscal year. Mark has agreed to stay on as Vice Chair, until his retirement ensuring a seamless transition. Since joining Smucker seven years ago, Tucker has become an integral part of the Smucker organization. He brings significant financial management experience and a deep understanding of the Company. He has the respect and confidence of his colleagues and the Board, and I am looking forward to partnering with him in the years to come. The second announcement was the evolution of our executive leadership structure. This new structure is designed to improve the execution of our strategy, enhance accountability and streamline decision-making to ensure, we move with speed and agility to deliver on our strategic and financial priorities. The change in structure includes the creation of a Chief Operating Officer role. We have initiated a search for an executive who will provide strategic and operational oversight of our business units as well as our operations and supply chain. We also started the process to identify a new leader of our US sales organization. In addition, we have initiated a search for new pet leaders - for new leadership of our Pet food business, which in the interim will be led by Rob Ferguson, an Officer of the Company, who has 14 years of management experience in the Pet category. Prior to joining Smucker, Rob served as a member of the executive leadership team of Big Heart Pet Brands. Rob has demonstrated a strong track record of leading change and driving results for our Company, including being instrumental to the integration of both Pet business acquisitions and the delivery of over $250 million of synergies. Further supporting the Pet business, Jeff Watters, former President and CEO of Ainsworth Pet Nutrition will serve as a strategic advisor. I am confident these changes ensure the alignment of a team that has a deep knowledge of the Smucker businesses and our industry. The new executive leadership team will continue to refine our strategy and evaluate our portfolio of brands ensuring we remain focused on delivering growth and creating value for our shareholders. Let me now discuss our second quarter results. We were able to offset softness in sales of certain brands to generate adjusted earnings per share above our projection, reflecting benefits of the targeted actions we are taking to prioritize financial discipline across the business. At a high level, these actions include increasing focus on investments in consumer facing marketing, reprioritizing company-wide resources and initiatives to increase focus on key growth platforms such as Uncrustables and premium Pet food and reducing discretionary spending. Through these diligent actions, we delivered adjusted EPS of $2.26 compared to $2.17 in the prior year, representing growth of 4%. While pleased with our earnings results, our aggregate net sales performance does not reflect the potential of our brands or the progress we are making toward our strategic growth imperatives. We are committed to improving top line performance and taking decisive corrective actions where necessary. Net sales declined 1% compared to the prior year excluding prior year's sales related to the divested US baking business and foreign exchange, while total sales were slightly below our projection, there were many highlights during the quarter, including strong performance for key brands within snacking, coffee and pet food. Beginning with snacking, sales grew 18% including double-digit growth for the Smucker's Uncrustables, Sahale Snacks and Jif PowerUps brands. We expect further acceleration for snacking in the third and fourth quarters with the increased production capacity for Uncrustables and expanded distribution for Jif PowerUps. In coffee, we continue to increase household penetration in the quarter, as sales for the Dunkin', Cafe Bustelo and 1850 brands all grew. Also, we grew volume in all formats including mainstream, premium KCup and instant while net sales were comparable to the prior year due to increased trade spend as lower green coffee costs are being passed through to consumers. In Pet food, we delivered growth for our largest brands in the portfolio, including Nutrish, Meow Mix and the Milk-Bone despite total segment growth being impacted by planned declines for private label products. In addition to declines for the Natural Balance brand, excuse me - In our pet snacks and cat food businesses, we achieved mid single-digit growth, which marked the eighth consecutive quarter of year-over-year sales growth for our cat portfolio. Meow Mix, 9Lives and Nutrish cat food each grew household penetration. In the latest 52-week period, Meow Mix now has the highest household penetration of any brand in the dry cat food segment. We remain excited about the prospects for both short and long-term growth for our portfolio of pet food and pet snacks brands. Recent softness for the portfolio is isolated to premium dog food. There has been an increase in competitive activity from a proliferation of brands entering the category, which are investing significantly to generate consumer trial. While the Nutrish brand sales increased 3% in the quarter, this was less than we had projected, and we anticipate the competitive headwinds in premium dog food to continue. We expect the brand to decline in the back half of the year due to competitive activity and a reduction in forecasted performance for both new distribution and innovation launches. Also the targeted actions we are taking to improve Nutrish performance have begun to be reflected on shelf and we expect further reflection throughout the third quarter. These actions include incremental investments aimed at improving the consumer value proposition to drive increased trial and loyalty and launching new advertising later this fiscal year. For Natural Balance, sales in the quarter decreased over 25%. The brand has been impacted by increased competitive offerings, continued growth of premium dog food in the grocery, mass and e-commerce channels and continued weakness in the pet specialty channel. Given the recent performance, we are reevaluating our plans, which may go beyond the previously communicated actions to restage the brand late this fiscal year. We remain confident in growth opportunities for the total pet business and with new leadership in place, we expect further refinements to our overall pet strategy which we will share over the coming quarters. I'll turn now to the progress made against our consumer-centric growth imperatives to lead in the best categories, build brands consumers love and be everywhere. I'll share a couple of examples from the quarter of how we are leading in the best categories. Snacking remains a key focus area, driven by Smucker's Uncrustables sandwiches. We expect continued acceleration for Uncrustables and forecast growth to exceed 25% in the second half of the fiscal year. We expect the momentum to continue and we remain on track to grow this business to over $500 million in net sales within the next few years. In coffee, sales trends improved throughout the quarter led by double-digit growth for all KCup brands including Folgers. Consumer takeaway for our portfolio of KCups continues to perform well, ahead of total segment growth. Further the Dunkin' brand continues its momentum and now owns the number three market share position across the total coffee category in the latest scan data for four-week, 13-week and 52-week period. This, combined with the leading market share position in the mainstream segment for the Folgers brand positions our coffee portfolio to firmly maintain the number one dollar and volume market share across the total coffee category by a wide margin. Turning to our strategic imperative of building brands consumers love, we are excited about the recently launched creative for the Jif, Smucker's and Cafe Bustillo brands during the second quarter, and additional brand refreshes are underway. Our new advertising for the Jif and Smucker's brands has been on air since September, and we are pleased with the initial feedback on the campaigns, which align with recent share gains for Smucker's fruit spreads and improved volume trends for Jif. We also saw strong sales momentum for Cafe Bustillo, up 14% in the quarter, supported by its first national advertising campaign which highlights its heritage and authenticity. The new campaigns strengthen our brands positioning in today's culture with breakthrough advertising across multiple media and social platforms to support long-term growth. We remain on track to deploy new campaigns for ten brands this fiscal year. Our latest brand refreshes are underway as the Meow Mix remix campaign launched in early November, and new Folgers advertising will begin airing next week and new support for the 1850 and Dunkin' Brands are debuting in December. Marketing spend for the quarter was 6.3% of net sales and 6.9% of net sales through the first half of the fiscal year. We are realizing the benefits of our new marketing operating model as expenses in the quarter declined compared to the prior year, while increasing the effectiveness and reach of our media spend. We remain committed to our investments in consumer facing marketing and project marketing spend of 6.5% to 7% of net sales for the full year. Our third quarter - our third growth imperative is to be everywhere. We know that consumers shop and interact with brands on demand and multichannel, therefore we need to be wherever consumers shop and available any time. Within the ecommerce channel, we continue to deliver solid growth, particularly in the Pet food and coffee categories. In the second quarter, our sales to pure play ecommerce retailers continue to grow double-digits, accounting for nearly 5% of total US retail sales. Factoring in the fast growing online sales for brick and mortar retailers, approximately 8% of our US retail sales are through e-commerce. We will continue to prioritize investments and initiatives to capitalize on the momentum in both pure play and omni channel e-commerce as the channel still has significant runway and is expected to be a catalyst for growth over the next several years. The focus of our Away From Home business has always been on our branded products that consumers desire while outside of the home. With increased production capacity for Uncrustables, we are excited about the growth potential of the platform in additional Away From Home outlets, as capacity constraints previously limited meaningful expansion beyond K-12 schools. Also, within our Away From Home business, we are very pleased with our expansion into premium coffee through our 1850 brand and have plans to further expand this platform next fiscal year. Before turning it over to Mark, here are a few thoughts we hope you take away from my comments. First, we are committed to taking decisive corrective actions to improve top line performance. Second, the recent leadership changes are designed to improve the execution of our strategy, enhance accountability and streamline decision-making to ensure that we move with speed and agility to deliver on our strategic and financial priorities. And third, our entire organization has embraced a financial discipline mindset further focusing our resources supporting earnings growth and generating cash flow. And finally, key parts of our portfolio are responding to the investments we are making against our strategic growth imperatives, which over time will deliver long-term financial growth and increase shareholder value. Finally I want to acknowledge our dedicated employees. Thank you for all you have done and all you will do to drive our business forward. I will now turn the call over to Mark Belgya.
Mark Belgya: Thank you, Mark, and good morning everyone. Let me begin with some added color on the quarter. Excluding the US baking divestiture and FX, net sales declined 1% in the second quarter, reflecting lower net pricing on coffee and peanut butter, partially offset by price increases in Pet food and Pet snacks. Volume/mix was flat as declines for dog food primarily, private label in the Natural Balance brand were offset by gains for coffee and Smucker's Uncrustables. Adjusted gross profit decreased $18 million from the prior year or 2%. Our gross margin improved 30 basis points to 38.5%. Excluding the baking business, gross profit was down 1%, primarily reflecting the net impact of lower pricing, not fully offset by lower costs. This was partially offset by favorable volume mix. Adjusted operating income declined $25 million compared to the prior year, a decrease of 6%, a $27 million gain on the sale and $9 million contribution to segment profit from the divested US baking business with the primary difference as the gross profit decline was offset by a reduction in marketing expense. Below operating income, interest expense decreased $5 million, driven by reduction in debt resulting from repayments made over the past 12 months. Other income and expense was $5.9 million more favorable in the quarter due to litigation cost incurred in the second quarter of last year. Finally, the adjusted effective income tax rate was 24.3%, slightly lower than our previous full year guidance range of 24.5% to 25%. The prior year effective tax rate was high at 30%, reflecting the impact of income tax expense associated with the sale of the baking business. This resulted in second quarter adjusted earnings per share of $2.26 compared to $2.17 in the prior year, an increase of 4%. Let me now turn to segment results beginning with Pet. Net sales declined 2% compared to the prior year, sales of private label products were a 3% headwind to the quarter, which include the planned discontinuation of certain business. Meow Mix, 9Lives and Nutrish drove cat food growth of 4%, while Milk-Bone led growth of 4% for pet snacks. These gains were offset by declines for the Natural Balance brand. Pet food segment profit increased 11% compared to the prior year. The increase was driven by favorable net pricing, synergy realization and lower marketing expense being partially offset by increased input costs and a decline from volume mix. Turning to the Coffee segment, net sales were comparable to the prior year. Lower net price realization reflecting the pass through of lower green coffee costs by the way of increased trade spend was mostly offset by favorable volume mix. Growth for the Cafe Bustelo and Dunkin' Brands offset a decline for the Folgers brand. KCup sales grew 14% with growth for each brand in the portfolio, the strength in KCup shipments more than reversed the decline in the first quarter related to the timing of new distribution. Coffee segment profit increased 5%, mostly reflecting the favorable impact of volume mix. The net impact of lower pricing and lower input cost was neutral to profit. In Consumer Foods, net sales decreased 8% reflecting the divested US baking business. Comparable net sales decreased 1% driven by lower net sales for the Jif and Crisco brands, offset by an increase of 9% for the Smucker's brand with growth across Uncrustables, Toppings and Fruit Spreads. Excluding the prior year profits and the gain on the sale of the divested baking business, Consumer Foods segment profit declined 8% due to the net impact of lower price, not fully offset by lower cost on peanut butter, partially offset by favorable volume mix and lower SD&A costs from reduced marketing and selling expenses. Lastly, in the international and Away From Home segment, net sales declined 3% compared to the prior-year. Volume mix accounted for a 2 percentage point decline, most notably in the Mexico market as we lap the sell-off of inventory in the prior year relating to closing facilities in a country and transitioning to a distributor export model. FX negatively impacted net sales by $2 million. Segment profit decreased 11% due to the impact of lower volume/mix and an unfavorable price/cost relationship, partially offset by lower SD&A expenses. Second quarter free cash flow was $161 million, which represented a $36 million increased over the prior year, reflecting an increase in cash provided by operating activities and a $14 million reduction in capital expenditures, reflecting the completion of the first phase of the Longmont Colorado facility. CapEx for the quarter was $63 million or 3.2% of net sales. The Company continued its intention of deleveraging by paying down $73 million of net debt in the quarter. We finished the quarter with a total debt balance of just over $5.7 billion, based on trailing 12 month EBITDA of approximately $1.6 billion, our leverage was 3.6 times. Let me now provide information on our revised outlook for fiscal 2020. Reported net sales are anticipated to be down 3% compared to the prior year, which includes $106 million of baking sales in the prior year and the incremental $25 million Ainsworth sales recognized in the first half results. On an organic basis, net sales are expected to be down 2%. Private label pet food remains a headwind with approximately a $10 million decline expected in the third quarter. Changes from our previous sales guidance primarily reflect the second quarter sales results, which were below our expectations. Expected declines in the back half of the year for premium dog food notably the Nutrish and Natural Balance brands and a general derisk of the back half recognizing competitive activity and strong fourth quarter comps for coffee and peanut butter. We continue to expect gross profit margins to be approximately 38.5% as overall commodity cost projections remain in line with our previous forecast. We're slightly ahead of our synergy projection and expect to realize full year incremental acquisition synergies just over $30 million by the end of the fiscal year, delivering on our $55 million cumulative target. Adjusted earnings per share is expected to be in the range of $8.10 to $8.30. Key factors that impacted the change to our adjusted EPS guidance range include the estimated earnings impact of reduced sales guidance, partially offset by SD&A expenses declining approximately 2% compared to the prior year, reflecting the continuing benefit of the actions taken in the quarter to maintain financial discipline. Interest expense is now projected at the low end of our range of $200 million, and finally, an effective tax rate of 24.5%. And looking at the third quarter, we would expect net sales and earnings per share to be down low-single digits. Full year free cash flow is projected to be approximately $850 million with CapEx between $300 million and $320 million. The reduction primarily reflects the revised earnings outlook and an expected increase in our inventory balance at year-end. We will continue to prioritize cash for debt reduction and expect to repay an additional $300 million by year-end taking our leverage down to approximately 3.3 times at the end of the fiscal year. In closing, let me reiterate Mark's opening comments, that while challenges to sales growth persists in certain categories, which drove the revision to our full year guidance, much of our business is performing at expected levels or above. We remain diligent towards delivering our revised earnings while making prudent investments toward future growth. In addition, we continue to make meaningful progress executing on key growth initiatives which are reflected in the underlying results. Overall, we remain confident in our ability to deliver long-term value to our shareholders. Thank you for your time this morning and we'll now open the call up to your questions. Operator, if you please queue up the first question.
Operator: [Operator Instructions] Our first question comes from Andrew Lazar of Barclays.
Andrew Lazar: Hi. Mark, I guess just a broader question, just to start us off a little bit, obviously Smucker's has revised the full-year '20 outlook the last two quarters. I'm just trying to get a sense of maybe how you would characterize the new outlook. In other words, do you see this is now providing the Company with sort of the needed flexibility to get the Pet trends on the right track and accelerate the organic momentum, or maybe is there a risk that this is still maybe not enough to fully address some of the route issues aggressively enough and there - therefore could still be a bit of a drag as we think, maybe forward into fiscal '21. I guess particularly in light of some new team members coming on board that would presumably also want and expect to have some input and such, starting. Thank you.
Mark Smucker: Thanks Andrew. Well, first of all, let me just start by saying, delivering on guidance is a foundational priority that I have as CEO and it's extremely important. So given the fact that we have missed guidance a couple of times this year, we - this round we took a very hard look with a very critical eye and really made sure that as we look forward, we were judging both the opportunities and risks that - really exists in the business and that we are giving ourselves the appropriate flexibility as you put it. So we do believe that the top line guidance is prudent and does reflect adequately both opportunities and risks. And so, while there are some challenges to sales growth and isolated really to premium pet, that's more or less what drove our revision. We still look at - the majority of our business is actually still performing at expected levels or above.
Andrew Lazar: And that was helpful. Thank you. And then, I know that...
Mark Belgya: Andrew, if I can just maybe add on to Mark's comments and dollarize a little bit what I had in my prepared comments. So for the benefit of everyone on the call. If you look at, basically the change in our top line guidance, so for everyone you'll recall it was zero and negative one before. So if you take the midpoint of that and just call it down 0.5% and basically try to explain the 250 basis points to get to our new minus 3. There's really three components that I - and I called out. First of all, about 50 basis points of that was due to this quarter where we fell short of expectations, okay. The second component I would suggest is about 75 basis points of this de-risking in both in as it relates to the competitive activity and some of the things that Mark just outlined, is related to Pet, but also we had really strong comps as you'll recall in Q4 in peanut butter and coffee. So that's sort of half of it, if you will. And then the other half would be 125 basis points to get us there would be primarily in the premium Pet. So that's how we go about. Based on that, we've got a fair amount of - I'll use a loose term here, cushion, on that 75 basis points of derisking. And then if you just translate that to the earnings side, that de-risk portion probably accounts somewhere between $0.10 and $0.15. So just to explain how we get to that 8 to 10 number at the low end of the guidance, that is taken into account the - sort of the de-risk portion of that sales number.
Operator: Our next question comes from Ken Goldman of JPMorgan. Please state your question.
Ken Goldman: Thank you and congratulations to both Tucker and Mark Belgya, Mark, thank you for all your help over the years.
Mark Belgya: Thanks Ken.
Ken Goldman: I wanted to start off by saying or asking really, you are making a change in leadership in Pet, but at the same time, at least when I hear you, the finger is being pointed mostly at competition, some channel shifts things that maybe are described best as exogenous. So I'm just curious to get a better sense of what you think internally, Smucker may have done as a Company a little bit or maybe should have done a little bit differently, and maybe what some of the changes should be made going forward that you can control within the Pet side.
Mark Smucker: Ken, this is Mark Smucker. I'll start. So I guess what I would say first of all is I would go back to the prior quarter, where we acknowledge that we did not adequately anticipate the level of competitive pressure that we would experience from new entrants, not just one entrant, but, there are multiple brands in the competitive space, nor did we react fast enough. So I would really point the finger at just the fact that there were a multiple competitive dynamics that were going on, that we should have reacted faster to. In terms of the broader leadership, challenges or changes rather, obviously Mark's transition has been planned for a long time, and we took a very thoughtful approach to the holistic leadership structure. And so this was not a knee-jerk reaction, these were changes that we had that through thoroughly and had decided to sync up some of the broader leadership changes along with the CFO announcement. And then ultimately, at the end of the day, I just go back to my prepared comments that the intent of the structure outside of any individual change is really intended again to increase agility, make sure that we have the right level of accountability and the right sets of eyes on the business that are going to really drive strategy.
Ken Goldman: Okay, thank you for that. And then a quick follow-up, I think you mentioned that the 1850 brand was up in terms of sales, at least in the takeaway data that we see, some of the distribution has maybe shrunk a little bit on that brand. Can you walk us through whether that's an accurate read of what's happening and if it is, maybe what the plan is to sort of reverse that a little bit?
Mark Smucker: Yes. We still have seen that 1850 continues to perform at expectations. As I mentioned again in the prepared comments, we are launching new advertising, which isn't on air yet. We actually got some nice publicity pre on that, in some of the advertising, the industry rags so that we've had some good feedback there, but ultimately, we continue to remain very focused on 1850 and we do expect to see continued growth in the brand.
Mark Belgya: Yes, Ken, I just would add also, Away From Home we introduced it there and then also at e-commerce it's showing up well there. So there is some other aspects of growth.
Operator: Our next question comes from Bryan Spillane of Bank of America. Please state your question.
Bryan Spillane: So maybe you know, just the first question and I think it kind of follows up on what Andrew was asking. I guess I'm still trying to understand or get a sense for is with new management, new people coming into the organization or plan to have new people come in, how much flexibility is there or potential that the strategy which you laid out for us a year ago would be open to really being materially changed and not just goals, but also just the actual strategy itself? Is there a chance that it would be reset, maybe meaningfully from what you communicated a year ago?
Mark Smucker: Bryan, this is Mark Smucker. I don't see a meaningful or significant shift in our total strategy. We continue to view that our three growth imperatives are still the right ones. We still believe in the categories in which we play and we still believe in the brands within those. You know what, if there are subtle shifts across our categories, that could be possible. I think, I mentioned in the prepared remarks, Natural Balance and that we may take a broader look at that brand to make sure that we are doing the right things for it. And so we will continue to potentially think about all of our categories and how we refine them, but I think the fundamental priorities against the business remains sound and the existing leadership team is very committed to those as well.
Bryan Spillane: So fair to characterize a lot of what's happened is either execution or needing to make some adaptations to some competitive activity - competitor activity.
Mark Smucker: That's fair.
Bryan Spillane: And then second one from me, just for Mark Belgya. In the - the protein market is pretty dynamic right now and especially with potentially more product being exported to China, and particularly like within chicken where maybe some parts that were sort of directed towards the Pet food industry could actually be exported. And so what we're trying to get a sense for is your thought on how you're monitoring protein inputs for the Pet food business and is there a potential or a likelihood that you'll start to see some inflation there?
Mark Belgya: What I would probably say to that is that I would just push back to the comment I had I think it was in my script just around our commodity outlook in general. And we would take those kind of considerations into our expectations, but right now we don't see a significant change in any of our categories as it relates to commodities, including what you just described. Obviously if that were to play out more significant, we, as I'm sure the other competitors in the mix would look at that from a pricing perspective.
Operator: Our next question comes from Pamela Kaufman of Morgan Stanley. Please state your question.
Pamela Kaufman: Can you elaborate on the competitive dynamics that you're seeing in the premium pet category and the proliferation in premium dog food products that you mentioned in the prepared comments?
Mark Smucker: There really is no elaboration from what we've previously communicated. I would just characterize it as - this is Mark Smucker by the way - just characterize it as a continued, pretty consistent level of intensity. If I could just, I can give you some specific color on our actions in terms of what we communicated previously. As you know, we have taken very specific actions as it relates to our customer support, both in-store, some of that is pricing as we've discussed previously. Obviously, we actually ramped up our on-air presence for Nutrish. We actually are shooting new advertising for Nutrish in the coming weeks, which won't show up in market probably until sometime in the third quarter and so all of those things remain - we remained very committed to. I think the only change from prior quarter is that the implementation of those has taken a little bit longer, particularly at a customer level, than we would expect. And so, although we have now just as of even this week, starting to reflect at the customer level, it isn't across the entire market. But through this Q3, we would expect to see all of those actions really come to fruition.
Pamela Kaufman: And then what was the contribution from innovation in the quarter? Do you still expect a $100 million contribution from products launched this year? And I guess generally how happy are you with the performance of innovation this year.
Mark Smucker: In general, I would say broadly in an aggregate, we feel that our innovation is actually meeting expectations. There are obviously puts and takes in that. I think our Milk-Bone for example innovation is going well and you think about snacking and I've already spoken to 1850 those are broadly meeting expectations.
Pamela Kaufman: Thanks. And then just on the contribution from innovation in the quarter and for the full year?
Mark Belgya: Yes, we are - hi, this is Mark Belgya, we're really trying to step away from that and I think to Mark's point we're pleased with the performance, but I think as time passes, particularly in that $100 million. We've talked in the past, how that's going to be stretched out over a little bit more time. So we will periodically update that, but that's not something we would look to do each quarter.
Operator: Our next question comes from Jason English of Goldman Sachs. Please state your question.
Vivek Srivastava: This is Vivek Srivastava speaking for Jason English. My question is on the impact of DCM on grain free Pet food sales, we are witnessing grain-free sales trends worsening in many of the dog food brands, due to building concerns around DCM including Rachael Ray where grain-free sales has declined 7% in track channels since the FDA announcement in June. What risk do you see from this in the months ahead? How have trends been in pet specialty and what steps you're taking to address this? Thank you.
Mark Smucker: Yes. So if you look across some of the FDA comments that came out, I don't know a couple of months ago, there has been a modest impact to all brands that were named in that. And that does not include, and that includes our brands, but it also includes all of the competitive brands as well. It is difficult, very difficult to quantify what that is. And we continue to make sure that we are offering a wide variety of products to our consumers that they - that they have the ability to choose between grain-free or limited ingredients or what have you. And so we continue to believe a broad portfolio is the right thing to do and we will continue to support those brands and across the entire portfolio.
Operator: Our next question comes from Robert Moskow of Credit Suisse. Please state your question.
Robert Moskow: Hi, thank you for the question. Two actually. Can you just give me a little more color on the Coffee Division sales being flat, Nielsen retail tracking data indicates down 3%. Mark Belgya, I think you mentioned e-commerce being a benefit, but are there other channels that are benefiting this or is there a risk that there is some inventory kind of loading up in the channel, like what happened last year? And then secondly, I think you made a comment Mark about inventory balances being higher at the end of the year. Can you give us a little more clarity on that? Thanks.
Mark Belgya: Yes. So Rob, this is Mark Belgya. So in terms of coffee, so I did mention the e-commerce was up actually e-commerce I think was in our scripted comments is about 5% of our total company sales and coffee actually saw a nice increase this quarter. So that could be part of what you're seeing. There probably is a little bit of shipment ahead of takeaway, you'll recall last quarter our commentary was coming out of Q4 that coffee had a strong Q4, a softer Q1 and we believe they got all the reasons, the new distribution and some other things. And so we delivered on all of that, particularly in KCups. So that could explain a little bit, what you're seeing as it relates to take away. On the inventory, right now, our balance - our inventory balances are running a little higher. Some of that is where we are with sales. I know the teams are working to work those numbers down now, but as we're looking at our free cash flow, as I said with the take out in earnings and where at least inventory stand right now, though I think the numbers will come down some. We just added a little bit of softness or a little bit of increase in inventory balances and thus a reduction in the cash generation.
Mark Smucker: And Rob, this is Mark Smucker. I might just elaborate on - give some clarity on stuff that might not come through in the scan data that's positive. So broadly across the coffee portfolio, we were - we had a very good quarter and we were pleased across every brand. And so if you look at growing Dunkin, growing all of our KCups, Bustelo did very well, Dunkin', for example, not only is it the number three, but it is the fastest growing premium brand, and the reason that that's not showing up in the scan data is because Canister - the Dunkin' Canister, which is doing very well falls in the mainstream segment. And so if you take Dunkin' in aggregate, it is growing faster than Starbucks in both - all of the 4-week, 12-week and 52-week periods. And then Folgers specifically, as you know, both in peanut butter and coffee we have - we've experienced significant deflation. But that said, Folgers is playing the role that we want it to, it's - the volume was up in the quarter and so despite the fact that we have that deflation, we've seen both volume growth and we've been able to actually maintain our profitability on the business. So coffee overall is a very nice success story for us in the quarter.
Robert Moskow: And maybe I could sneak one more in. Marketing as a percent of sales, I think the guidance was to be 6.5% to 7% this year. Do you think you'll be below that because of more just cost to discretionary projects?
Mark Belgya: No.
Mark Smucker: No. I would even maybe go one step further Rob is that, because I know that we've been asked and I guess this goes back to one of the earlier questions, it's sort of our strategy, investing in our brands. We would really like to sort of draw a line in the sand now for our - for our marketing dollars. So we will end in that 6.5% to 7% range and - in the events, in the unlikely event that sales were to change from our guidance, we would still look to hold the dollar spend in marketing for the rest of the year.
Robert Moskow: So judging from the giggles, I think I'll raise my marketing spending in the back half, but I'll - maybe I'll get back to you on that. Mark Belgya, thank you so much for your help over the years. Appreciate it.
Operator: Our next question comes from Alexia Howard of Bernstein. Please state your question.
Alexia Howard: Good morning, everyone, and congratulations to Tucker, and thank you so much to Mark. So the first question that I have is around the free cash flow guidance. It looks as though free cash flow guidance was bought down a little bit more than the sales guidance in the earnings per share guidance. I was just wondering around the mechanics of that or what's causing that revision downwards. And then my second question is really about the visibility into earnings growth from here. Obviously, there has been a couple of guide downs in the past couple of quarters. I guess, I'm wondering, is the visibility deteriorating at this point and what does that mean for the validity of a long-term earnings growth algorithm and also what are the major factors that are now harder to predict than they were previously. Thank you.
Mark Belgya: Alexia, this is Mark Belgya. So in terms of the free cash flow, I think it - - there's only certain components of that, and I would say it's predominantly the two that I called out on the earnings and on the inventory. There's probably maybe just a little bit more working capital. But as you know, that ultimate number won't be figured out until April 30th when all the balance sheet items are finalized, but there is nothing dramatically in any other areas or components of that calculation that would be off. In terms of just the - your second question, and let me just take a step back and Mark please jump in here. So, in terms of just forecasting generally, I think that with some of the de-risking if you will of our guidance for the rest of the fiscal, we feel that we have taken a prudent approach to consider the competitive activity, particularly in premium pet, have thought through where we had some strong finishes last year. That might be a bit more of a challenge to get through and do feel that we have appropriately recognized that, we would expect earnings growth albeit not as fast as we originally expected beginning of the year, but we would expect that to be in Q4 as I commented on Q3 being down slightly and I don't think there's anything dramatically different in our ability to do so. I think that as we've said in the last quarter, almost two quarters now, you know, our intent is to continue our cost management program, to help alleviate some of the softness that we have incurred and help sort of protect that, that ability to hit the guidance. And, where we stand as of right now, we feel pretty good about our estimate on top line and how that parlays into our earnings guidance.
Mark Smucker: Yes, I guess, I would just add one comment on forecasting which is, although we are not pleased with the guide down, I would comment that this is a reflection of better visibility into our forecasting and making sure that we're taking the prudent steps in terms of derisking as Mark spoke to earlier. We're making sure that we're reconciling operational and financial forecast in the appropriate manner and providing not only us, the senior leaders, but also the individual businesses with the appropriate level of visibility.
Operator: Our next question comes from Laurent Grandet of Guggenheim. Please state your question.
Laurent Grandet: I'd like to focus my first question on the new organization. So, could you please comment on the reason why you're appointed as COO and what would be the exact role of yours in that new power split please? And also, I mean, where are you thinking - where are you are in the process and when do you see, I mean, you can fill this role as well as the new US sales and Pet food leaders? Thank you.
Mark Belgya: Sure, Laurent. Thank you for the question. So, I did answer this in the prepared remarks, but my focus needs to remain on obviously delivering results and really making the right strategic decisions for the business. The Chief Operating Officer will help in terms of making choices across all of the businesses and will really help to operate the businesses on a day-to-day basis, which I do today, but I also feel that I need to spend a little more time just on strategic matters as well and obviously building the organization for success, obviously for the long term. I feel very good about the team that we have in place today. I think that everybody is very much aligned on the strategic priorities, and I think as COO will quite frankly just help specific decision making and execution at the business level.
Laurent Grandet: And in terms of the process on - in terms of timing for this role, and as well as the two other roles?
Mark Belgya: Well, we're in a search. We've begun the search for those - for those roles, and those are underway. It's hard to say when we will actually fill them, those things can take time. We are moving as fast as we can. But we want to make sure that we find the right individual that has both the right - the right level of operating experience, but also the appropriate level of leadership experience in terms of developing people and culture. So I won't commit to a timeframe, but suffice it to say we're on it and we're moving as quickly as we can.
Laurent Grandet: One more question it's more on the Pet food. So, in your prepared remarks, you mentioned you lost about $20 million in private label sales. And just during the call, I mean, you also mentioned, it could be about $10 million loss in the third quarter. How should we think more of these private label business going forward? I mean, is it a business that you are planning to move away from and how big is that? Thank you very much.
Mark Belgya: So generally as a company, philosophically, we only engage in private label businesses where it makes strategic sense or where we know we can generate growth and profitability. And so where we have exited, those were - in most cases, those were conscious decisions to exit parts of the business that were not generating the appropriate return. So we do remain engaged in some of our private label Pet businesses. It is specific to those areas where there is a strategic benefit, partnership with customers and so we will not abandon it, but we will be prudent in terms of how we - how and where we engage strategically on private label.
Operator: Our next question comes from Rebecca Scheuneman of Morningstar. Please state your question.
Rebecca Scheuneman: So I'd like to start with the leadership changes as well. And if you could just kind of talk about the process and how you work through that. Did you look at best practices across the industry or was it more of an internal analysis? I just like to kind of hear about the process.
Mark Smucker: Yes, sure. We did look at best practices across the industry to be sure. We have an ongoing relationship with the search firm that we are using even for the CFO search, I would tell you we did do a thorough search externally and Tucker actually went through a very rigorous process, external evaluation process with a couple outside partners, one being the search firm. And so even in every case, we are taking a prudent approach in terms of how we are looking at filling those roles and just wanting to make sure that we are looking both at best practices, but also making sure that we're taking the appropriate time and necessary steps to put the right talent in each role.
Rebecca Scheuneman: And then my last question is, you had mentioned in the prepared comments about some possible changes you're considering for the Natural Balance strategy, and I was just wondering if you could elaborate about some of the changes you're considering for example, are you looking at possibly entering into food, drug and mass, that would seem to align with your - your be everywhere strategy and I'm just wondering if that's something that you're considering.
Mark Smucker: Sure. I can't give you much more colors, so I'm not sure you'll be that pleased with the answer, but I do - what I would say is we previously talked about a re-stage. We continue to move forward with the re-stage that includes a whole host of things including packaging alignment, consumer communication, I mean, it really is, it is very broad and it does take time, because it is a relatively deep exercise. I think what we have said previously is that re-stage would be towards the end of the - the very end of the fiscal year. But, beyond that, we will consider a more, a broader strategic review of the brand, that could include things like you're suggesting, but we want to hold off on communicating anything until we really have gone through our own internal process.
Operator: Thank you. I will now turn the conference call back to management to conclude.
Mark Smucker: Thank you all for listening. We appreciate the questions, I guess I would hope that everyone takes away that, they are many areas of our business that are performing very well, because where we focus, we are winning. The softness is isolated to premium dog and obviously we've seen some deflation in a couple of our categories, but hope that you all take away that we have taken very specific and decisive actions, whether it be in the marketplace, financial discipline, investing in our business, the leadership changes that ultimately are really starting to yield results. And so we do have a commitment to you all that we will - we will continue to work and the goal of course is to grow our business in aggregate. And just want to thank our fantastic employees for their commitment to the Company and wish everybody on the call a very happy Thanksgiving. Thank you.
Operator: Ladies and gentlemen, this concludes our conference call for today. Thank you all for participating and have a nice day. All parties may now disconnect.